Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TJX Companies Third Quarter Fiscal 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded, November 20, 2024. I would like to turn the conference call over to Mr. Ernie Herrman, Chief Executive Officer and President of the TJX Companies, Inc. Please go ahead, sir.
Ernie Herrman: Thanks, Sheila. Before we begin, Deb has some opening comments.
Debra McConnell: Thank you, Ernie, and good morning. Today's call is being recorded and includes forward-looking statements about our results and plans. These statements are subject to risks and uncertainties that could cause the actual results to vary materially from these statements, including, among others, the factors identified in our filings with the SEC. Please review our press release for a cautionary statement regarding forward-looking statements as well as the full Safe Harbor statements included in the Investors section of our website, tjx.com. We've also detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and in the Investors section of tjx.com, along with the reconciliations to non-GAAP measures we discuss. Thank you. And now I'll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Deb on the call is John. I want to begin our call today by saying that our hearts go out to all of our associates, their families and everyone who has been affected by Hurricane Helene and Milton. To help with relief efforts, we made essential emergency supplies and resources available to our associates in the impacted areas. We also made emergency donations to the World Central Kitchen and the American Red Cross through our TJX Foundation. We take our commitment to supporting communities seriously and try to help local communities during times of need through our longstanding relationships with organizations that provide critical support. Now to our business update and third quarter results. I am very pleased with our third quarter performance. I want to personally thank all of our global associates for their continued hard work and commitment to TJX. Comp store sales growth of 3% came in at the high end of our plan. I am particularly pleased with the operational execution across all of our divisions as each delivered comp store sales increases entirely driven by customer transactions. I want to specifically highlight our European team for their efforts and strong results, which drove the 7% comp increase at our TJX International division. Clearly, our terrific assortment and great values across our retail banners resonated with many of our shoppers when they visited our stores. In terms of profitability, pre tax profit margin and earnings per share both well exceeded our plans. With our third quarter performance, we are once again raising our full year outlook for pre tax profit margin and earnings per share. John will talk to our profitability performance and guidance in more detail in a moment. Looking ahead, the fourth quarter is off to a strong start. We continue to see outstanding availability of goods across a wide range of brands, which gives us great confidence in flowing fresh, exciting assortments to our stores and online this holiday season and beyond. Longer term, we are excited about the opportunities we see to gain additional market share and continue our successful growth in the United States and internationally. I'll talk more about our holiday plans and our opportunities for global growth in a moment. But first, I'll turn the call over to John to cover our third quarter results in more detail.
John Klinger: Thanks, Ernie. I also want to add my gratitude to all of our global associates for their continued dedication to TJX. Now I'll share some additional details on the third quarter. As Ernie mentioned, our consolidated comp sales increased 3%, which is at the high end of our plan and entirely driven by customer transactions. Once again, both our apparel and home categories saw comp sales increases this quarter. Pre tax profit margin of 12.3% was up 30 basis points versus last year. Pre tax profit margin was 40 basis points above the high end of our plan, primarily due to a benefit from the timing of certain expenses, most of which we expect will reverse out in the fourth quarter expense savings and higher net interest income. Gross margin was up 50 basis points versus last year. This favorability was primarily due to an increase in merchandize margin. SG&A increased 10 basis points versus last year. This increase was due to incremental store wage and payroll costs, which largely offset the year-over-year benefit from closing HomeGoods e-commerce business last year and lower incentive compensation expense this year. Lastly, we're very pleased that diluted earnings per share of $1.14 were up 11% versus last year and also well above plan. Now to our third quarter divisional performance. Again this quarter across all of our divisions, the comp increases were entirely driven by customer transactions. We see this as a great indicator of the strength of our value proposition. At Marmaxx, comp store sales increased 2% and segment profit margin was 14.3%, up 30 basis points versus last year. During the third quarter, Marmaxx's sales were negatively impacted by store closures due to the hurricanes. Marmaxx's apparel and home categories, both saw comp sales increases. We are excited about the initiatives we have planned to drive sales and customer transactions at T.J. Maxx and Marshalls this holiday season. Further, we have some great merchandize plans for our U.S. e-commerce sites in our Sierra business. Long term, we remain confident that Marmaxx, our largest division, can further grow its customer base and increase its market share. HomeGoods comp store sales increased 3%. Segment profit margin grew to 12.3%, up 200 basis points versus last year. As a reminder, last year we had a significant negative impact from the costs associated with the closing of our HomeGoods online business. During the third quarter, we were proud to open our 1,000 store in our HomeGoods division, a terrific milestone. With a highly differentiated mix of eclectic merchandize from around the world, we believe that both HomeGoods and HomeSense are well positioned to capture additional share of the U.S. market over the long term. At TJX Canada, our comp store sales were up 2%. Segment profit margin on a constant currency basis was 15.2%, down 170 basis points versus last year. I want to mention that most of the year-over-year decline in Canada's margin was due to some non-recurring items last year and this year that impacted our year-over-year comparability. That along with increased freight costs due to the rail shutdown. We are the only major off-price retailer in Canada. We have a very loyal customer base and our offering well recognized retail brands across good, better and best categories. We believe that this sets us up well to attract even more customers to all three of our Canadian banners. At TJX International, comp store sales increased 7% with strong increases in both Europe and Australia. Segment profit margin on a constant currency basis improved 7.2%, up 180 basis points versus last year. As Ernie said, we are very pleased with our European results, which drove this division's overall performance. Going forward, we are confident that we can gain additional share of both the European and Australian retail markets and increase this division's profitability. Ernie will have more to say on our international growth opportunities in a moment. Moving to inventory. Balance sheet inventory was up 1% and inventory on a per store basis was down 2%, driven by lower holdings at our distribution centers. We feel great about our liquidity and the outstanding availability we're seeing in the marketplace. We are very well positioned to flow fresh assortments to our stores and online throughout the holiday season. I'll finish with our capital allocation. We were very pleased to generate another quarter of strong cash flow while also reinvesting in the growth of our business and returning cash to shareholders through our buyback and dividend programs. Now I'll turn it back to Ernie.
Ernie Herrman: Thanks, John. Now I'll highlight the opportunities we see that give us confidence that we can keep driving sales and customer transactions in the fourth quarter. First, and most importantly, we remain committed to delivering outstanding value to our shoppers every day. This holiday season, consumers can expect to see great value throughout our stores every time they shop us. We see this as a meaningful advantage as consumers can shop our excellent values every day and not have to wait for sales or promotional days elsewhere. Second, with the outstanding availability we have been seeing in the marketplace, we are well positioned as a destination for gifts this holiday season. Each of our banners are set up extremely well to offer shoppers across a broad range of income demographics and exciting selection of gifts at price points that can meet their budgets. With gift offerings in every department, we believe our stores are an appealing one-stop shopping destination for consumers to buy for everyone on their list. Further, after the holiday season, we'll continue our focus on being a year-round gifting destination. Next, as we do all year long, we plan to flow fresh merchandise to our stores and online multiple times a week, which we believe is a key differentiator of our business. With our ever-changing assortment of merchandise, we are confident that shoppers can see something new every time they visit. In addition, we feel great about our plans to flex our stores after the holidays, to the categories and trends we believe consumers will be looking for to start the new year. Lastly, we feel great about our holiday marketing campaigns, which launched earlier this month. Each of our brands are emphasizing gift giving and reinforcing our value leadership. We plan to showcase a wide selection of quality products to highlight that there is something for everyone and demonstrate that our great values are available to everyone, every day. Further, we plan to advertise through a variety of media channels with an emphasis on digital to reach consumers across a wide age and income demographic who are seeking gifting inspiration. Moving on, we believe we are in an excellent position to continue capitalizing on the growth of off-price around the world and further grow our leadership position. giving me confidence is our very long track record of executing our flexible business model and our value leadership. We strongly believe that our decades of off-price expertise and knowledge is a tremendous advantage and will allow us to continue delivering comp store sales growth, driving customer transactions and attracting new shoppers. Next, we continue to see a significant opportunity to follow -- to further grow our store base in our existing countries. With over 5,000 stores today, we continue to see the potential to open another 1,200-plus stores with just our current retail banners in our current countries. Beyond this, you've heard me say before that we believe our off-price model can work wherever consumers seek fashion and brands at great prices. With that said, I'm excited to announce today that we are planning to expand our T.K. Maxx banner in Spain. We've been looking at the Spanish market for quite some time and are confident that the timing is right. And that we have a strong understanding of the marketplace and the consumer. Importantly, other than a small field office in Spain to effectively serve the local market, we plan to leverage our existing European infrastructure and organization. We expect our first stores to open in early 2026 and long term. We see the potential to open more than 100 stores in Spain. In addition to our current countries and our planned expansion in Spain, we are extremely pleased to gain off-price exposure in new markets as well. Through our JV with Grupo Axo and our investment in brands for less, we'll now be participating in the growth of off-price in Mexico the UAE, Saudi Arabia and beyond. We are always looking for ways to increase shareholder value, and we see these two investments as a good use of cash with an attractive growth and return profile over the long term. All of this gives me confidence that even as a $50 billion-plus global retailer, significant opportunities remain to capture additional market share around the world going forward. Summing up, I am very pleased with our third quarter performance, and we feel great about our initiatives for the holiday selling season. I want to reiterate that we are always looking at ways to increase both our top line and our profitability. Longer term, we are confident that our value leadership treasure hunt shopping experience and flexibility will continue to be key advantages and allow us to increase our market share. Further, I'm convinced that our global talent is unmatched and that our focus on culture, teaching and training will continue to be major contributors to our success for many years to come. Finally, we have many initiatives underway in our corporate responsibility programs, and I encourage anyone to learn more about our efforts on our corporate website, tjx.com in the Responsibility section. Now I'll turn the call back to John to cover our fourth quarter and full year guidance, and then we'll open it up for questions.
John Klinger: Thanks again, Ernie. As a reminder, adjusted numbers for last year's fourth quarter and full year exclude the benefit from the extra week in our fiscal calendar last year. Now I'll start with the fourth quarter guidance where we are expecting overall comp store sales growth to be up 2% to 3%, consolidated sales to be in the range of $15.9 billion to $16.1 billion pre tax profit margin to be in the range of 10.8% to 10.9%, down 10 basis points to flat versus last year's adjusted 10.9%. And gross margin to be in the range of 29.4% to 29.5%. This will be down 10 basis points to flat versus last year's adjusted 29.5%. As a reminder, this year's fourth quarter gross margin assumes a negative impact from our year-over-year shrink accrual. SG&A to be 18.8%, which would be 10 basis points favorable to last year's 18.9%, net interest income of $35 million, which we expect to deliver pre tax profit margin by 10 basis points. Our fourth -- our fourth quarter guidance also assumes a tax rate of 26.0% and a weighted average share count of approximately 1.14 billion shares. Lastly, we're expecting fourth quarter diluted earnings per share to be in the range of $1.12 to $1.14 versus last year's $1.12 -- adjusted to $1.12. Moving to the full year. We continue to expect overall comp store sales to increase 3%. We expect consolidated sales to be in the range of $55.9 billion to $56.1 billion. We're increasing our pre tax profit margin guidance by 10 basis points to 11.3%. This would be up 40 basis points versus last year's adjusted 10.9%. We now expect gross margin to be 30.3%, a 40 basis point increase versus last year's adjusted 29.9%. We expect this increase to be driven by a higher merchandise margin, partially offset by higher supply chain costs. We continue to plan shrink to be flat versus last year. We continue to expect SG&A to be 19.3%, flat versus last year's 19.3%. We're planning incremental store wage and payroll costs to be offset by lower incentive compensation costs and a benefit from items that negatively impacted us last year. We're now assuming net interest income of $174 million, which would have a neutral impact on our year-over-year pre tax profit margin. Our full year guidance assumes a tax rate of 25% and a weighted average share count of approximately 1.14 billion shares. We now expect fully diluted earnings per share to be in the range of $4.15 to $4.17. This would represent an increase of 10% to 11% versus last year's adjusted diluted earnings per share of $3.76. It's important to note that we are not flowing through the entire third quarter earnings per share beat of $0.06 to the full year as we expect $0.02 of timing expenses benefit in the third quarter to reverse out in the fourth quarter. In closing, I want to reiterate that we are very pleased with the execution of our teams across the company in the third quarter. We are confident in our plans for the fourth quarter and always will strive to beat them. We have a very strong balance sheet and are in an excellent position to continue investing in the growth of TJX while simultaneously returning significant cash to our shareholders. Now we're happy to take your questions. As a reminder, please limit your questions to 1 per person so we can answer as many questions as we can. Thanks. And now we'll open it up for questions.
Operator: [Operator Instructions]. Our first question will come from Matthew Boss with JPMorgan. Your line is open.
Matthew Boss: Thanks and congrats on another nice quarter. So Ernie, could you speak to the cadence of comps at Marmaxx or maybe outside of hurricane and weather disruption any change in business or market share momentum in the holiday in 2025? And then, John, if you could just outline or elaborate on the drivers of the third quarter merchandise margin expansion. Maybe just walk through continued drivers of merchandise margin looking forward?
Ernie Herrman: Yes. So good question, Matt. Yes, we were actually starting off stronger than where we ended up in Marmaxx at the beginning of the quarter. And in addition to the hurricanes that hit us later, it was really some unseasonably warm weather in Marmaxx that kept pulling us down. In fact, we pretty much rounded down to the two. We were heading in a good place. And I'll tell you this, I'm extremely happy with where Marmaxx is starting off, starting off strong as we enter November here. And I know you're not asking about Europe, but this is where the weather and you've probably seen all the different reports of the unseasonably warm weather has affected other retailers and shopping patterns beyond just the hurricanes, our Europe business had a benefit weather. So the 7 comp that we have there, that team over there who did a great job on executing, I think, would tell you though that they were helped by some favorable cooler weather actually in Europe. So it's a tale of two cities. And again, the cadence was kind of like that, the way Marmaxx went. So we're ultimately feeling very good about the Marmaxx business. and where we're headed for Q4.
John Klinger: Yes. And as far as your question about the gross margin, most of it was in the merchandise margin line. We also had some expense savings in the DC line. And that's really from, as we said, that the inventories, I mean, they were on an average per store basis were down in the DCs and up in our stores. We're very comfortable with where the inventory is landed. So the DCs were processing closer to need, and that gives us savings in our DCs on the processing side.
Matthew Boss: Great. Best of luck.
Operator: Next, we will hear from Brooke Roach with Goldman Sachs. You may proceed.
Brooke Roach: Good morning and thank you for taking our question. With tariffs and supply chain top of mind, I was hoping you could elaborate on how you're thinking about your current exposure to direct imports from certain countries such as China. And what impact a potential tariff scenario could have on your business, both in terms of inventory availability, but also costs to merchandise sourcing?
Ernie Herrman: Sure, Brooke. Obviously, something we're aware of potential situations out there and all along we watch these things. As you remember, we've dealt with this before a number of years ago. I would tell you this is one of the places where our model is such a benefit because our priority is maintaining our value gap, right, on our goods relative to the out-the-door retail that competition. So while we won't speculate on exactly what will happen with certain items or certain categories, if it does happen, we are set up to ensure that we maintain our value gap between us and the out the door at no matter what those categories are that could get hit with tariffs. Everything is relative. We will make sure our values are proportionately below them as they always have been. Again, we have the flexibility that we're not buying so far early and out. The other opportunity, ironically, that tends to surface in times like this is we could have other manufacturers or retailers that do more of their own direct imports. And I know you mentioned our direct imports that's a very small portion of our business. And we've already a number of years ago, started diversifying out of China. As an aside, by the way, on this topic, as you know, the bulk of our inventory is bought from brands. So we don't even have visibility into where those goods are from, nor do we actually want to get involved in that. It's back to the value gap that we retail those goods out relative to competition. So if a brand were to get hit with tariffs increased tariff on a category, and that brand had to raise their price and then that price gets carried on to another retailer. Could that price on that one SKU for us be up a little? It might, but it will never be at any issue with the value gap that we have relative to the competition. On the direct back to the imports, that's such a small number for us that we're really not concerned on that piece, same idea. I would say, what was the last part of your question there for?
Brooke Roach: Just whether or not there was any benefits or opportunities that tariffs could present to your buying…?
Ernie Herrman: Oh, yes. I'm sorry. So with the vendors could bring in good manufacturers could bring in goods early and this is what happened last time, that could create actually even additional availability of goods at advantageous prices for us because we can take advantage of that opportunistically. And that's as likely a scenario as anything. So once again, this is where the model when, when there's chaos out there in the market a little, if that happens a little bit on certain categories, ultimately, usually, that's an opportunity for us.
John Klinger: And then, Brooke, just to add on, you had questioned the supply chain. So we are anticipating a little bit of freight headwind in the fourth quarter, which we have reflected in our forecast.
Brooke Roach: Great. Thanks so much, I’ll pass it on.
Operator: Our next question will come from Lorraine Hutchinson with Bank of America. Your line is open.
Lorraine Hutchinson: Ernie, the comp continues to be driven by transactions. Can you talk to the composition of the new customers that you're gaining by age and income level and any changes you've seen in recent quarters or signs of trade down in that customer cohort?
Ernie Herrman: Right. No, great question, Lorraine. It's interesting, John, the team and marketing team, we look at this all of the time. We have, over the last few years, started to more of our customers are skewing a little bit younger as consistent we've talked about age 18 to 34 has been a growing segment for us. This is good based on where we have kind of skewed our business, but I would like to emphasize interestingly Lorraine. One thing I always talk about is how we trade broadly. That's in terms of income and age, all right? And we recently have looked at our breakdown by the age groups and the income groups. And again, it's a competitive advantage for us. We love the way we are balanced by age and income across every one of our banners. And we've recently looked at the new data on it. And yes, on the on some of the younger that's moved that way a little bit, it's still extremely in proportion to the different age groups balance across -- against the general population. We love that because it allows us to continue to keep growing our customer base on all incomes and demographic as well as you know this, we're all about good, better, best in our product. And so we continue to emphasize that with our merchants with the way we do our store formats, we want to appeal to all different incomes and age groups. And so -- I think I answered your first part about where the growth has been on the customer. But what I would tell you is our objective is to continue, yes, to get younger customers on the same time, unlike other retailers that kind of narrow in on their customer base from a demographics perspective. We are not doing that. We want to continue to trade broadly. So if we get more younger, I still don't want us to give up the older age customers or the in between. And so John, anything else you want to add to that?
John Klinger: With our good, better, best strategy, we trade across all income demographics. And last quarter, we saw positive performance across all the income demographics categories that we track.
Ernie Herrman: And you know what, I think neat and again, for the future, as we continue to expand, is there is a convenience benefit -- not only do we create more of a treasure hunt by going after this wide range of wider than our competition, and I don't mean just off price competition. I mean all competition that tends to trade -- now you and we've spoken about this many times. I think for the future, it continues to allow us to differentiate ourselves from the other retailers and to when we enter our market, it creates convenience not creating treasure hunt entertainment type of shopping experience, it creates convenience because when somebody is shopping in their stores, especially for gifts even you're having different levels of gifts, not just not a one age group, one income group. It allows somebody to have a convenient shopping experience as well as an unexpected what are you going to find shopping experience.
Lorraine Hutchinson: Thank you.
Ernie Herrman: Thank you.
Operator: Next, we will hear from Paul Lejuez with Citi. Please go ahead.
Paul Lejuez: Hi, guys. Two quick ones. I'm curious if you can talk about whether your view of the consumer has changed versus the last time we heard from you, three months ago, just given there have been some things that have changed on the macro sense. Just curious if you're seeing anything on the consumer? And then second, if you can just talk at a high level, about how you're thinking on margin expansion opportunities or challenges in 2025, if you can give us an early peek into how you're thinking? Thanks.
John Klinger: I'll start, and then I'll let Ernie chime in on the merchandise margin question. As far as the consumer goes, there's really no change in how we're viewing the consumer either by income demographic or by age. We -- again, as Ernie just mentioned, we're attracting more customers that are in that 18 to 34 age range, which we think is a definite plus when you think of the long-term health of the business. But again, the merchandising strategies that Ernie has talked about over and over again, we feel that, that, again, differentiates us from a lot of competitors and really gives a broad cross-section of the population and interest to shop us.
Ernie Herrman: Paul, I'll throw in two other things. I think this might also be helpful based on your question is what's changed since last quarter per se and the view on a macro scale, I don't know if this is a one-quarter thing or over the last few quarters. But as you can see, the health of our home business makes me continue to be very bullish on where we're headed in home. And I don't know if that's a macro trend. I know it probably is inconsistent when you look at the results in the home industry. But I think on our end, we're seeing for our customer, obviously, you can see from the build. In fact, I am thrilled with what HomeGoods did this past quarter against a very big comp last year. I would say, for our customers, and by the way, we believe there we gain additional customers. There's a bit of a -- an open to look for fun, I would say, eclectic fashion home merchandise and an ever-changing home assortment that, that seems to be picking up over the last few quarters, I would say, not necessarily Q2 to Q3, but I would say our Q3 versus three quarters ago. And you can see, we talked about that a bit on the last call. But I'm feeling even more bullish quarter-by-quarter. We've been -- and I've been talking about it for a year now. And that team, I'm very proud of our home teams across the corporation. I'm talking to stores the way they put out the goods, but also our merchants have been so collaborative in the way they've executed from HomeGoods to Marmaxx, to Europe, Canada, all the merchants at our home businesses have really been doing a nice job taking advantage of what I think is a bit of a shift.
Paul Lejuez: And then on the margin for next year, any thoughts?
John Klinger: We're not giving guidance today on the -- we're not prepared to give guidance for next year. I mean, we've been very consistent in saying that on a 3% to 4% comp, again, assuming no outsized expense increases and some merchandise margin improvement, we can be flat to up 10 basis points. But the biggest lever we have is our top line growth. When customers are searching for value, we believe our execution and the value we offer will continue to resonate with those customers. So we think that driving that top line is something that we will continue to do. So again, we'll give guidance on the fourth quarter call for FY '26.
Paul Lejuez: Thanks. Those were my points.
John Klinger: Thank you.
Operator: Our next question will come from Michael Binetti with Evercore. Your line is open.
Michael Binetti: Thanks guys. Great quarter. Thanks for taking our question. Maybe just to double click on Paul's question a little bit. As we think about the typical algorithm you guys speak to, I think last year was two to three comps with flat to 10 basis points of pre tax on PAT. I know you don't want to get into guidance, but any items or puts and takes we should start thinking about qualitatively to consider with respect to what would be a normal year tariffs, labor or just the mix of business. I don't know, John, you mentioned maybe there was a few thoughts that the international margins improvement you've been seeing lately could be more durable. I'm curious what you thought there. And then, Ernie, glad to hear your confidence on Marmaxx here in November. If you would mind just double clicking on it for a minute. What do you think is working? Is that weather just getting out of the way and it always should have been better or are you seeing the weather-sensitive categories improved or are these early reads from the holiday categories?
Ernie Herrman: Although it will start, I know that's your last part there, Michael. But yes, I think more of that, again we - I think Marmaxx would have tracked better if the weather wasn't unseasonably warm. And so now I think we're getting that weather picture out of the way here a bit and that's helping as well as I think I talked about in the script, we have so many of our gift giving categories that are now hitting the stores. And if you look -- I think now is a place if you look typically in our Q4, where we gained market share pretty steadily over a number of years. And I think there's a combination of the weather getting out of the way as well as Marmaxx is looking particularly strong from a mix perspective with gift-giving and fresh goods that have been hitting. So I think it's both. But thanks for that. Thanks for -- we don't mind double clicking on that one.
John Klinger: Yes. And then just to get back to the first part of your question, last year, we did have a number of onetime items that gave us a little bit of a tailwind this year. So that's why this year on a two to three comp we've been able to be, excuse me, on a three to four comp, we've been able to be higher or flow more there really isn't a lot this year that's impacted us. We don't see Spain next year as being a large headwind -- we're trying to be as cost-effective as we can going into that market, leveraging as much as we can that European business. So again, I'd just go back to my upfront comment of what we see until we have more detail for you on the fourth quarter.
Michael Binetti: Thank you.
Operator: Next, we will hear from Alex Straton with Morgan Stanley. You may proceed.
Alex Straton: Perfect. Thanks for taking the question. I wanted to focus in on HomeGoods, again, those initial comments were super helpful. Can you just talk about the profitability improvement there and how you guys have been able to drive that to such a nice level after a number of years of pressure? And then just on the international kind of announcements and a number of entries or changes this year. Has something changed in terms of strategy or how are you guys thinking about that? Thanks a lot.
Ernie Herrman: All right, Alex. Let me start with and then John will probably jump out on the HomeGoods margin. But if I can get to you on what you're asking, which I would figure this would be a question. The international expansion is we're at a bit of a junction here of where we have talent and you've heard me talk about this before. We've always have this great business model, but I wanted to be very careful and strategic about when we roll it out to not dilute our core businesses. And so what's happened is the time -- so the timing of our model, along with entries into markets where nobody is doing a good job or even doing a job on off-price has been surfacing at a time when we -- because of all of the tenure that we have in TJX, which I have to emphasize, again, our management team's experience at all different levels from managers all the way up to top executives, we have tenure and experience across this corporation, really like never before. So that's allowed me to really work with the teams and identify opportunities and then have a handful of people that were either coming out of their jobs. They could have been nearing retirement or wanted to do something a little different. And we've been able to utilize them to actually help us make these, I guess, joint ventures or investments or new businesses like in Spain. So what really Alex has happened is we have more talent where I don't have to risk the core businesses to allow us to entertain and then actually get involved with these opportunities than we've ever had before. And so that's why you're seeing us do three different things internationally without taking away any focus or execution risk in our core businesses. Does that make sense? So that's a conscious really a conscious point of where we're at today. And I go back to not just the benefit, obviously, for these new business ideas, there's the benefit for our core businesses that this corporation has so much talent across the board. I think that's a differentiator for us from other retailers is the longevity that we have.
John Klinger: And then getting back to getting to your -- the beginning of your question, which is on HomeGoods giving you a little more color on the 200 basis point improvement. So the biggest thing I said in my talking points was the closure of homegoods.com last year. That we weren't up against that we didn't have this year. But other pieces, we had some expense efficiencies that we saw in the division along with some freight favorability. And this was, again, partially offset by supply chain wage and some inventory cap expense in the inventory cap is one of the pieces that we're seeing as reversing next quarter.
Ernie Herrman: One other thing I would jump in with there also, Alex, as you're asking about that home margin. And as I talked before, we're bullish on home in total, but our home margins are healthy across the board. So we're always feeling good and especially directionally, as you can see, where you and John just spoke about how the last quarter was a nice margin in HomeGoods. We're feeling good about our home business margins in general. So just it's -- that's another positive which is also in an industry where oftentimes margins are challenging at home, some of that has to do with those categories that other retailers do more of their business. And obviously, we're more fashion driven and eclectic, but thanks for the question.
Operator: Our next question will come from Ike Boruchow with Wells Fargo. Please go ahead.
Ike Boruchow: Hi, good morning everyone. Just wanted to kind of dig in a little bit more on the overseas comp. One of the best performances you guys have put up in a few years, I think, just maybe just -- could you talk to the macro in both of those key regions, Australia and Europe kind of curious if anything is changing for the better at a higher level when you look at it? And then just a follow-up to that is -- should we expect a kind of similar dynamic with Marmaxx where you kind of talked about the weather was unfavorable, it shifted Marmaxx improved? Is it kind of the same thing with Europe, weather it was very favorable? I assume things have normalized, like kind of in terms of the comp should the comp be kind of normalizing as well after a really robust 3Q?
John Klinger: I mean our international comp, I mean, we had a strong comp both in Europe and in Australia. And it's the international comp is -- it's a portion that excellent execution, but also weather that Ernie had called out. So nothing more to add on that. As far as the Marmaxx comp, again, we continue to execute well there, and we're confident in our plans for the fourth quarter.
Ike Boruchow: I guess what the question is, have you seen a normalization in the comp trend as the seasonal benefit, I assume it's kind of waned a bit just like with Marmaxx, the seasonal headwind has waned trajectory-wise for that business?
Ernie Herrman: Right. So I think what you're getting -- so you're getting a yes, we would not plan to assume we're going to run at 7 comps all the time because, again, part of that was a benefit from the weather change and that goes away. Just by the way, yes, you're exactly right. Just as in Marmaxx that kind of went the other way and could go the other way. You also asked, I think, about the macro environment. I think the macro environment has not really changed much in Europe. That's still about the same. This was more about our own execution and the weather. And then obviously, here in the States, same thing.
Ike Boruchow: That’s helpful. Thank you, Ernie. Appreciate it.
Ernie Herrman: Welcome.
Operator: Next, we will hear from Bob Drbul with Guggenheim. You may go ahead.
Bob Drbul: Hi good morning. Following up on the home business, can you spend some time just on HomeSense sort of how you're doing in the various regions, U.S., Canada, Europe? Thanks.
Ernie Herrman: Yes. So HomeSense, we've been very happy with. And in fact, as I was really trying to hint at earlier is our home business across the Board has really been healthy. We're liking what we're seeing for the most part, some exceptions throughout every geographic area that we're in.
John Klinger: Yes, we are positive across all the geographic areas that we have in these home businesses. And again, that includes the apparel stores where we have home as well.
Ernie Herrman: That's right, the full family stores, right? And by the way, in Europe, that was part of our strong performance, right, John, last quarter, so HomeSense there as well. We're also -- we've had a pickup recently in our HomeSense in the U.S. business as we've been playing with some execution issues there. not trouble per se, but ability to, we think, do more business going forward by tweaking the mix. So we don't say what that is, but we've done some good things in the teams. I give them a lot of credit that HomeSense business, but no feeling really good across them. Obviously, in Australia, we do home in our -- within our -- there is no separate home business versus in the other geographies. Having said that, that has also been healthy. Yes. So yes, again, all the indicators are in, I go back to we do our home business differently. Our merchants there collaborate and are creative, and I think all of you have seen this, what we give to the consumer in our home area is very different than what any other retailer does. Even though in some categories, we're overlapping, the approach is so much more eclectic. And by the way, good better best throughout the entire home area just as in the rest of our stores. So couldn't be happier where we're headed there.
Bob Drbul: Great. And just within the Marmaxx business, the runway piece of the business, are you seeing sort of better availability in some of the luxury goods areas for some of your stores?
Ernie Herrman: We usually don't comment on anything like that specific, but I mean availability has been okay there. That's -- it's such a limited -- we don't really use that as a bellwether for availability for us because it's only a limited store base. And that kind of moves because of the smaller resource structure there, it's a bit more up and down, and it could literally change week-to-week. So that's why we don't comment on availability in that business. But -- as you can see, the nature of the product that we have there is really what sets us apart and helps us with our mission of good, better, best. And in that case, it's probably best plus, I guess, you would call it.
Bob Drbul: Great. Thank you.
Ernie Herrman: Thanks.
Operator: Our next question will come from John Kernan with TD Cowen. Your line is open.
John Kernan: Good morning, everybody. Thanks for taking our question. A lot of questions on home here. I would also like to focus in on a few of the other categories like beauty, consumables, footwear, accessories you go into stores, it looks like these categories continue to be elevated and some of them seem like they're getting floor space. So maybe just any commentary on some of the categories outside of home and then some apparel [ph]?
Ernie Herrman: Yes. No, John, great observation and a great question. Obviously, yes, you can see some of the other businesses. I guess you would -- you're calling them consumables. Obviously, you can see we're doing a great job and things like that or beauty or there's many categories throughout the store that you would call consumables. I believe that those businesses are part of -- every one of our brands right now is doing a lot in that because we do, a, a good consistent flow of freshness there. And we talk about an area we kind of crush competition on value, our value and whether you look at the beauty business you looked at or if you look at our pet business, which is a consumable, really, for the most part, or many of the other areas, some of them are in home. Some of them are not there by our line up at the front of the store. You know many of those, even though you wouldn't think of them, everyone needs to replenish their -- their ear pods very often are the phone cases or right? And so all of the things that you just called out very strong, and we continue to have it be there. We believe their traffic -- I believe they're traffic builders and frequency of visit builders. As well as they are a form of extreme value because most of those categories, when you go to buy them and other retail or online, I believe the initial markups on those in the retails are pretty high. And so we show exceptional value in those consumable areas, which, obviously, the customer appreciates because the customer is getting something that they know they're buying often and they're saving money every time in a great way. So I'm glad you actually called that out because we don't really talk about that is we don't really talk about that as much. Wasn't there -- there was another piece where you're asking about apparel or something?
John Kernan: I wanted to talk on the other categories outside of core ladies...
Ernie Herrman: Yes, outside of home…
John Kernan: I think follow up to John might be just on the gross margin question you got asked a few different ways. What would be the long-term driver of further merchandise margin expansion? Is it as simple as full price sell-through, mark it up, mark on? Like how do we think about the long-term merchandise margin opportunity outside the leverage on 3 to 4 comps?
John Klinger: Yes. Obviously, if there was a change in expense base, I mean, if -- because as we say, no outsized expense increases, if we started to see some expense decreases in certain areas, I mean, that could change the model. But the number one lever that we have to pull is the top line growth. And that's really where we see the opportunity going forward of just continuing to grab market share and continuing to grab that top line.
John Kernan: That’s great. Thanks guys. Best of luck.
John Klinger: Thank you, John.
Operator: Next, we will hear from Adrienne Yih with Barclays. You may proceed.
Adrienne Yih: Great. Thank you very much. Let me add my congratulations. So Ernie, we always say all very lead to off-price. So here's a little bit of a conundrum for you. Would you rather be in a backdrop that is pressured where you are taking share and getting trade down? Or would you rather be in a healthier environment stimulated maybe by demand in the back half of next year where you can raise prices relative to the market, but maybe inventory is a little bit cleaner. I think the latter...
John Klinger: In any kind of economic time. I mean we've consistently shown that that if times are good, we trade well, if times are troubled, people are looking for value, we tend to be a retailer that customers look for. I don't know if you have anything to add Ernie.
Ernie Herrman: I do, Adrienne. I favour the -- I like them both scenarios for different reasons. The only thing is on the second one, and I think your guess for me is I would slightly favour the a little healthier environment. But you said a little cleaner, the only thing we have -- I haven't witnessed that. So meaning when the environment is healthier strangely enough, what ends up happening is you have this initial lag, but when retailers get healthier, the wholesalers and those retailers tend to cut, meaning place more -- a little bit more goods more aggressively to chase what they believe is going to be a healthier trend, which ultimately doesn't lead to cleaner it might be cleaner for like a quarter or something. Do you know what I mean? So I like the healthier because it generally also even though innately first blush, you would think it would -- it would lead to leaner excess inventories, our experience has been that hasn't happened. So -- but then for the original reasons you were saying, I think it's good, where prices are up and then everyone can just -- we can maintain our gap. And meanwhile, you have to John's point, we do well in the other environment too so. So I just personally like what you were saying on the second one.
Adrienne Yih: And then my second follow-up is you're camping a really heroic home comp. Are you seeing a little bit of kind of movement, housing has started to move a tiny bit with rates coming down a bit? How does that work sort of in a Fed cutting cycle? I would imagine the horizon for the next year looks pretty good for HomeGoods and you're already starting to see that come through. So comment on that, Ernie or John?
Ernie Herrman: Yes. I think, Adrienne, right now, I know what you're getting at. We think there might be a little bit of that starting. I think that would be more next year where we believe there's a tailwind a little bit to your point, to help because home starts. If interest -- if mortgage rates did come down a notch, maybe you get more of that, even if it's not home starts, people are more willing to now go by fresh accessories or the core for their homes. And I think that's probably the play. Right now, I believe this is more of our own internal strong execution by the team that drove more of that comp against the big comp. And I believe it's also the environment where a lot of the competition has really looked stale. And so I think it's allowing us to even more shine. And so some of the things that -- if you walk in a HomeGoods right now, if you look at our holiday from our holiday signing package to all of the giftables to the different food categories that we have that are extremely gift oriented. I think the biggest thing right now is setting HomeGoods apart from all the other competition out there right now is, I believe, the biggest thing -- and then I think to your point in the spring, I believe we might get a little bit of a tailwind help by what could potentially be more of what you are talking about, new home or new purchases for your current on, given the economics.
Adrienne Yih: Thank you so much, well done to the team.
Ernie Herrman: Thank you, Adrienne.
Operator: And our final question of the day comes from Dana Telsey with Telsey Group. Your line is open.
Dana Telsey: Hi, good afternoon everyone. Congratulations on the nice results. I would say that your marketing journey of HomeGoods, what you had in Madison Square Park with the HomeGoods house look terrific in New York a couple of weeks ago…
Ernie Herrman: You saw that, yes, that's great.
Dana Telsey: Not only I have pictures too. It looks terrific. And it was a traffic driver. Yes. So the other thing, just as you think about marketing, how do you think of marketing as a percent of sales going forward? How is it different this holiday season from last -- and on the other note of Real Estate, what are you seeing in terms of new store performance of relocations and remodels, any shifts in store size? Thank you.
Ernie Herrman: Yes. Well, first of all, on our marketing, our attitude is to play a little bit of offense. So we're spending a little bit more and our creative, which I would love to we have groups coming up, but we'd love you guys to see the marketing campaigns. If you haven't seen some of the TV spots that have already been playing we think they're just terrific. And I think also the geared educating consumers that haven't shopped us to understand the value and what it is to shop us. And that's going to be playing out really strong, I think the teams have -- so we always look at marketing in terms of the -- what we're spending, obviously, to your first part of your question, but what is the creative one we're spending it on and because you need that to be breakthrough and then to -- you're trying to get an additional visit from either your infrequent shoppers or grab new customers. And the campaigns we're running really are geared at really going after a lot of consumers that have even entertain coming to us. So really feeling good about that. John, do you want to...
John Klinger: Yes. So your question around the relocations and remodels -- as far as the remodels go, we're ensuring that we're staying -- keeping the estate fresh. And so that when a customer comes in, no matter what store they come into they get the same shopping experience and maintaining that just means that we're not going to start to lose sales due to a poor shopping environment. And then the relocations, where we can where we see the opportunity to move into a better retail area, we see definite positives in the relocations that we've done over the last number of years.
Dana Telsey: Thank you.
Ernie Herrman: Thank you, Dana. And I would like to thank everyone for joining us today. We look forward to updating all of you again on our fourth quarter earnings call in February. And again, thanks for your time. And everyone have a safe holiday.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect. Thank you for participating.